Operator: Good morning and welcome everyone to the Information Services Group Third Quarter Results Conference Call. This call is being recorded and a replay will be available on ISG's website within 24 hours. Now I'd like to turn the call over to Mr. Barry Holt for his opening remarks and introductions. Mr. Holt, please go ahead.
Barry Holt: Thank you, operator hello, and good morning. My name is Barry Holt. I'm a Senior Communications Executive at ISG. I'd like to welcome everyone to ISG's third quarter conference call. I'm joined today by Michael Connors, Chairman and Chief Executive Officer and Bert Alfonso, Executive Vice President and Chief Financial Officer. Before we begin, I'd like to read a forward-looking statement. It's important to note that this communication may contain forward-looking statements which represent the current expectations and beliefs of the management of ISG, concerning future events and their potential effects. These statements are not guarantees of future results and are subject to certain risks and uncertainties that could cause actual results to differ materially from those anticipated. For a more detailed listing of the risks and other factors that could affect future results, please refer to the forward-looking statement contained in our Form 8-K that was furnished last night to the SEC and the Risk Factors section in ISG is Form 10-K, covering full year results. You should also read ISG's Annual Report on Form 10-K and any other relevant documents, including any amendments or supplements to these documents filed with the SEC. You will be able to obtain free copies of any of ISG's SEC filings on either ISG's website at www.isg-one.com or the SEC's website at www.sec.gov. ISG undertakes no obligation to update or revise any forward-looking statements to reflect subsequent events or circumstances. During this call, we will discuss non-GAAP financial measures which ISG believes improves the comparability of the company's financial results between periods, and provides for greater transparency of key measures used to evaluate the company's performance. The non-GAAP measures, which we will touch on today, include adjusted EBITDA, adjusted net earnings, and the presentation of selected financial data on a constant currency basis. Non-GAAP measures are provided - and additional information, and should not be considered in isolation or as a substitute for financial results prepared in accordance with GAAP. For the reconciliation of all non-GAAP measures presented to the most closely applicable GAAP measure please refer to our current report, on Form 8-K, which was filed last night with the SEC. And now, I'd like to turn the call over to Michael Connors, who will be followed by Bert Alfonso. Mike?
Michael Connors: Thank you, Barry, and good morning, everyone. Today, we will review our third quarter and year-to-date performance, our outlook for the fourth quarter, our return of cash to shareholders in Q3, and our bolt-on acquisition of change for growth a leading change management company. ISG is a firm with good momentum as we enter Q4 and look ahead to 2023. Demand remains strong for our digital services, our SaaS platforms including GovernX and ISG research. These offerings in particular are driving a strong profitable mix of products and services that resulted in the highest EBITDA margin in our firm's history 16% in the third quarter, with the pandemic largely behind them. Enterprises in every industry remain focused on digital. They are reimagining their businesses to deliver more value to their customers, employees and shareholders. That requires ongoing investment in cloud, AI, analytics, 5G and cyber and a trusted advisor to guide them. The ongoing demand for digital is reflected in the underlying strength of our third quarter results. We delivered $69 million in revenue $73 million in constant currency impacted by 540 basis points of FX. We achieved nearly $11 million in EBITDA, adjusted earnings of $0.14 per share and again an EBITDA margin of 16%. Recurring revenues reached $26 million, representing 37% of overall firm revenue. With $78 million of recurring revenues year-to-date, we are on track to achieve the $100 million we committed to in 2020. We also saw the client of about $1 million in Asia Pacific due to the timing of certain public sector engagements. Elsewhere Europe delivered operating growth of 13% and we expect another quarter of double-digit growth in Q4 despite that macro environment. Our Americas business excluding automation grew 14% in the third quarter on the strength of our digital services, and this region is also expected to have a robust Q4. As was the case last quarter, our reported growth was impacted by the absence of a large automation deal in the U.S. that was completed last year. The year-over-year impact was $5 million plus in Q3. Our recurring revenues were up 10% on strong demand for our research and platform solutions. Our GovernX platform in particular is performing very well, with several major deals in the quarter with a combined $5 million. As mentioned in the current environment, our clients are pressing ahead with their digital initiatives. We're also seeing an uptick in demand for our cost takeout services, as some enterprises redouble their efforts to stay lean and reinvest in digital. We recently signed a major client to a $1 million plus engagement focused exclusively on optimizing their cost structure, targeting savings of more than $100 million. There are more such deals on the way. Year-to-date ISG has delivered record revenues and profits. And with a strong fourth quarter, we expect we are on track to deliver record full year revenue and profitability. During the quarter, we invested in an additional 56 professionals focused on our higher growth digital and recurring revenue streams. Bert will share more details on our financial performance for the third quarter and year-to-date a bit later. From a client perspective, we serve 625 clients in Q3, including 65 new to ISG are both from the prior year and quarter-over-quarter. This bodes well for 2023. Continuous digital transformation remains a business imperative and ISG is ideally positioned to meet that need. We continue to help our clients design their future operating state and leverage the technology and services that will help them realize their objectives. Now moving to shareholder returns. Due to our successful ISG NEXT operating model, we were able to return nearly $7 million for our shareholders this quarter, comprised of nearly $5 million in share repurchases and $2 million in dividends. We also reduced our debt by another $1 million during the quarter driving our gross debt ratio to a new low. Now I would like to brief you on our latest acquisition Change 4 Growth an award-winning company specializing in transformational change for enterprises. Founded in 2017, Change 4 Growth offers market-leading change solutions and expertise to ensure the success of large-scale business transformations involving people, process and technology. This is the right time to invest in expanding our capabilities in organizational change management, or OCM. We estimate demand for such services will grow at a compound annual rate of 15% over the next five years, as companies continuously invest in large scale digital initiatives that require employee buy and to be successful. Change 4 Growth is the perfect complement to our existing ISG Enterprise Change business. It strengthens our core OCM business and brings additional capabilities to the table including a change management digital platform that allows clients to track the progress and health of their transformations. In short, we are creating a new global powerhouse in change management. Turning to our regions, the Americas delivered $42 million of revenue in the quarter, down 2% versus the prior year. As mentioned excluding automation the Americas delivered 14% growth on the strength of our digital offerings including cybersecurity network, and analytics. During Q3, we saw double-digit growth in our media, health sciences, energy, utilities and insurance industry verticals. And among our services research GovernX, network and software advisory were also all up double-digits. Key client engagements during the third quarter included Owens $ Minor Medical, the State of Idaho and Capri holdings. During the quarter, we won a $3 million engagement to assess standardize and optimize the training programs of a major financial services technology provider. This represents another major client for our emerging training as a service offering. We also won a $2.3 million engagement to provide GovernX vendor management services to a major distributor of pharmaceuticals and medical supplies. Turning to Europe, our Q3 revenues of $19 million were up 13% in constant currency over last year. For the quarter, Europe delivered double-digit revenue growth in our public sector, consumer services, and manufacturing industry verticals and in our GovernX network and software businesses. Key client engagements in Europe in the third quarter included Volkswagen Munich Re, Danske Bank and Diageo. During the quarter, we expanded our business by $2 million with a major networking and telecom company. ISG is helping this client define and optimize their IoT offerings and is providing strategic planning for their future business state. We also secured major wins with two public sector clients in our dock region, BWI, which is the IT arm of Germany's Federal Ministry of Defense and with BIT, the Swiss Federal Office of Information Technology Systems and Telecommunications. These multiyear engagements combined are worth over $5 million. Now turning to Asia Pacific our Q3 revenues of $7 million were down 3% in constant currency from last year, due to some timing issues on government contracts. Asia Pacific has been a strong performer this year with year-to-date revenues up 20% in constant currency and we expect growth to continue. In the last quarter, we saw double-digit growth in our insurance and media verticals. Key clients in the quarter included the insurance company Bupa, shipping company, Global Express and Insurance Australia Group. We continue to expand our relationship with the Australian arm of a leading global insurance company growing our business with this client by $1 million in the third quarter alone. We are supporting this client with our GovernX and executive insights platform solutions, ESG strategy and implementation, organizational change management and cost optimization services. Now let me turn to guidance. We see continued strong demand for our services as enterprises remain in a state of continuous digital transformation to defend and grow their market position. We're also mindful of the economic factors that could impact our clients, including inflation supply chain disruptions, higher energy costs, geopolitical concerns, and talent shortages. Taking both demand and the macro factors into account, we continue to target record revenue and profits for the full year. For the fourth quarter, we are targeting revenues of between $70 million and $72 million. And this includes a negative FX impact built in of approximately 500 basis points and adjusted EBITDA between $10 million and $11 million. You will note that our fourth quarter revenues are expected to be higher than our third quarter revenues despite the FX impact, reflecting a stronger demand environment. So with that, let me turn the call over to Bert who will summarize our financial results. Bert?
Bert Alfonso: Well, thank you Mike, and good morning everyone. As Mike mentioned, ISG continues to have momentum in the market, with a solid third quarter adding to our strong year-to-date financial results. Revenues for the third quarter were $68.8 million down 3% on a reported basis and up 2% on a constant currency basis compared with the third quarter last year. Currency negatively impacted reported revenues by $4 million versus the prior year. In the Americas, reported revenues were $42.2 million down 2% versus the prior year impacted by the completion of a large automation engagement. In Europe, revenues were $19.3 million down 4% on a reported basis and up 13% in constant currency. And in Asia Pacific, revenues were $7.3 million down 10% reported and 3% in constant currency. Third quarter adjusted EBITDA was $10.7 million up 5% from last year, resulting in an EBITDA margin of 15.6% of 120 basis points compared with the prior year's third quarter. In constant currency adjusted EBITDA was up 12% in Q3, and up 20% year-to-date. Our ISG NEXT operating model, which lowers our delivery costs contributed to a 300 basis point improvement in our gross margin in the quarter and 220 basis point improvement year-to-date. Third quarter operating income increased 2% to $7.4 million, compared with $7.3 million in the prior year. Net income for the quarter was $5.6 million or $0.11 per fully diluted share of 26% versus net income of $4.4 million or $0.09 per fully diluted share in the prior year. Third quarter adjusted net income was $7.2 million or $0.14 per share on a fully diluted basis of nearly 21% from adjusted net income of $5.9 million, or $0.12 per share diluted in the prior year's third quarter. Headcount as of September 30, 2022, was 1,538 up 56 professionals or 3.8% versus the second quarter. And as Mike mentioned earlier, we added resources in anticipation of future growth. Consulting utilization for the third quarter was 72% down 310 basis points versus the prior year impacted by our additional hiring. Our balance sheet continues to have the strength and flexibility to support our business over the long-term. For the quarter, net cash provided by operations was neutral, impacted by higher accounts receivable, higher prepaid expenses, and lower taxes payable, and we ended the quarter with $19.7 million of cash. During the third quarter, ISG returned approximately $6.8 million to shareholders, including share buybacks of $4.8 million and dividends of $2 million. Our next quarterly dividend will be payable on December 19, to shareholders of record as of December 5. In addition, we paid $1 million and a final payout related to our - 2020 acquisition of Neuralify and we also pay down $1.1 million of debt, lowering our debt balance to $73.1 million and our debt to EBITDA ratio to 1.7 times a record low. Our average borrowing rate for the quarter was 3.6%, up from 1.9% last year, and we ended the quarter with 47.9 million shares outstanding. Mike will now share some concluding remarks before we go to the Q&A. Back to you Mike.
Michael Connors: Thank you, Bert. Well to summarize ISG delivered a solid third quarter leading to our best first nine months ever. Our Q3 recurring revenues were up double-digits, putting us on pace to reach our commitment of $100 million for the full year. We've navigated the FX headwinds and other market challenges to deliver double-digit operating growth in Europe and double-digits in the Americas excluding the automation. Our disciplined operating approach resulted in the highest ever EBITDA margin in our firm's history, and we returned $7 million to our shareholders in the quarter. We see our momentum continuing and expect to deliver even better results in the fourth quarter, ending the year with record revenue and profits. Longer term, we are excited about our acquisition of Change 4 Growth, as it strengthens our transformation capabilities and will allow us to better capitalize on a growing change management market. As always, we are focused on creating shareholder value for the long-term. And we are steadfast in our mission to deliver operational excellence to our clients. So thank you very much for calling in this morning. And now let me turn the session over to the operator for your questions.
Operator: Thank you. [Operator Instructions] Our first question today comes from Joe Gomes from Noble Capital. Your line is now open.
Joe Gomes: Good morning, thanks for taking the questions.
Michael Connors: Good morning. Joe. How are you?
Joe Gomes: Good. So on the acquisition, can you give us a little more detail or color in terms of financials, what was paid, what you think the contribution here for Change 4 Growth could be at least in the short-term?
Michael Connors: Yes, so good question. So first of all, just to put it into context, why do we did it? We are in the middle of lots of digital and business transformations. And that is where the hot market is. And one of the things we continually are asked is how we can help them put up a wrapper if you will, around all of the change that is happening because of technology changes that are happening in these companies. So A) we wanted to expand what we currently have, which is a strong Enterprise Change business even more. The growth, we think will be 15% CAGR over the next number of years. It will add about 25 to 30, new clients for ISG. They are focused in areas like consumer services, retail, automotive, and combined with ISG will have about 75 plus people in the Enterprise Change area. So it gives you an idea of the scale of what is happening in a lot of these large enterprises. We provided a $3 million payment upon closing and the team at Change 4 Growth will have an opportunity to earn additional on performance targets that are set for 2024 and 2025. That's as much as we're going to deliver on that bid, Joe.
Bert Alfonso: So let me add just a couple of points. You know our overall, just to give your perspective on sizes sort of 2% to 3% of our revenues going into next year. But we do expect it to be accretive in year one, 2023.
Joe Gomes: Okay, thanks for that insight. So you ended the quarter with about, you know, let's call it $20 million of cash that was before this acquisition. I'm assuming, you know, that's down from when you started or ended last year at about $48 million of cash. I mean, how comfortable are you at the cash level today? Especially seeing you've been pretty steady, returning capital to shareholders here this year?
Michael Connors: Yes, I'd say that, you know, over the last nine months, to your point, we've put cash to work on a number of ways. Certainly our return to shareholders has been very active, both in dividends, and as well as a share buyback. And so, we aim to be able to do that continuously over time. We did mention in the second quarter, we had a tax payment, where we actually paid two years of taxes, particularly in some of our European affiliates. With the deferrals that were granted by some of the European governments, particularly in Germany, where we're highly profitable in the second quarter. And so that was a one-time higher tax payment than we would typically expect. And then - here in the third quarter, we've seen a little bit more on the accounts receivable side. And while our receivables continue to be up to-date, we aren't we are seeing a bit of stretching by some of our clients just around quarter end. And to put it in perspective, it really is more of a window dressing, because we see those receivables the collections at about twice the rate of the week before the closing, so no concerns about collections, but certainly a bit of window dressing there. And as well, we've got some higher prepaids on some licenses in the light, but we feel comfortable with the balance that we have today, we also anticipate to be able to continue to generate strong cash going forward. And then, we will continue to seek opportunities such as Change 4 Growth where we can make bolt-on acquisitions where it makes sense for us to add to our business in organically so, no concerns in that respect.
Joe Gomes: Okay, good. And just wanted to switch gears here for a second to the automation business, couple years ago, there was a lot of big excitement on that - the RPA business, talk was going to be a huge drivers here they were talking forecast of 30% to 50% growth rates. Just want to go get your thoughts on that business today where it is kind of its growth rate today and where you see that business kind of growing over the next couple of years?
Michael Connors: Okay look, good question. I don't want the kind of large deal that we did with this major entertainment company to kind of distort how we feel about automation, we would do that deal, again, to help one of our large clients. But I think this space, it's highly competitive now, I would say more so than it was two years ago, as the major three or four software providers with UiPath, Automation Anywhere, Blue Prism, NICE, there's a few others. All are beating each other up in the marketplace. So it's added some competitive pressures there. But I think, we believe that automation is - still a very viable - is a very viable area for us. And we continue to be bullish on it. I think certain areas like call centers are red hot, the public sector is increasing. And we just believe that, as we move forward into 2023, that the automation business is still a key part of the overall digital strategy. So I would say in terms of how we feel about is an entity, and is a value for the firm. I would say we kind of need to see how the market unfold here in the next 12 months or so, but automation is here, it's here to stay, and it will continue to mature.
Joe Gomes: Thanks for that insight. And one last one from me, if I may, just you know, kind of get a little update on how the return to in-person events is going out. See some of the other - in other industry so the in-person events just have not really come back to the pre COVID level. So just trying to get any idea you know, your guy's response to that and how you see it going today?
Michael Connors: So good question, first of all, we are back to in-person events. In the quarter, we had a very successful sourcing of client sourcing event held down in Dallas, Texas. We had an event held over in Munich where I was on smart manufacturing. So it is coming back. It's not quite back in terms of its total volume pre-pandemic. But we are going to have a very good year in ISG events this year as we emerge into 2023. I would say that I think events are back. The only thing that will hold it back I think in 2023 will be the macro environment and decisions that, clients might make in terms of travel and those kinds of things. And we'll keep an eye on it. But it is definitely emerging back at a pretty good pace.
Joe Gomes: Great, thanks for that. I'll get back in queue.
Michael Connors: Thanks, Joe.
Operator: Our next question today comes from Marc Riddick from Sidoti. Your line is now open.
Marc Riddick: Hi, good morning.
Michael Connors: Good morning, Marc.
Bert Alfonso: Good morning, Marc.
Marc Riddick: So you had a quite a lot of activity in the quarter, despite macroeconomic concerns, were certainly pleasant to see. I was wondering if you could talk a little bit about the bump up in headcounts through the end of the third quarter? And maybe - sort of give us some thoughts as to first of all, if that's something that continued into the fourth quarter, and how that maybe plays into some of the growth that you're pursuing some of the things that you see ahead of those hires, as well as maybe - just maybe some thoughts on talent availability, and obviously inflation and stuff like that?
Michael Connors: Okay, Marc good question. So look we added, over 50 in the quarter net, if you look at second quarter, we also grew and we made a decision to kind of grab talent in the market, while others were I would say some were pausing and we had an opportunity to kind of go out and get incremental talent and we made the decision to do so. And in terms of our ability to attract talent, we've always had a business model that has allowed us to have a very good talent pipeline. And I think, we've discussed before there's, kind of two ends of this, there's the turnover part. And then there's the, you know, recruiting part. And at both ends, our attrition rates remain kind of as a steady state over the last five years, it was even better, as you know, in 2020, with the first year of the COVID thing, but our turnover rate still is at very low industry standards. Think about it in the 12% range, this is outside of India. And so, we don't have a leaky boat that way. So - we have a great I think, we think we have a great way - an environment to kind of attract people and keep them a combination of the work that we do, the clients that we serve, and the combination of using stock and cash as incentives for our team. So we jump ahead here, because we think with cloud and cyber and modernizing technology. And then all of the change that's occurring with clients that we - were going to go ahead and take advantage of what we thought was a nice talent market and jump ahead, which is a little unusual. Marc, you will know that we are, we are ones that kind of don't go too far ahead. We try to match up the revenue with the expense as close as we possibly can. But we decided to take advantage of what we think was a good market for us to attract talent. I don't see that same level continuing into the fourth quarter, because with holidays, Thanksgiving and Christmas and so forth, you don't get as much productivity, so we tend to want to move our hires into Q1. So I don't think you'll see much of that in Q4 if that helps Marc?
Marc Riddick: It does. And one of the reasons why I asked the question the way I did, I guess is - because I was sort of wondering if you're getting the sense that there's some shakeout of talent more recently from competitors or the like, that maybe you might not have seen it earlier in the year, maybe just do this sort of? The things that you've seen from others and/or maybe the benefit or help that with the ISG NEXT model that you now have, as far as making ISG even more desirable place to land, maybe relative to it was a few years ago. I mean - does that any of that - any of that entering to the picture?
Michael Connors: Yes, first of all good observations Marc, I would say both. Number one yes, we felt like there was some pausing going on in other areas of other companies. And we wanted to take advantage of that which we have done. And second of all, I think our ISG NEXT model is more attractive today. Why? Because the work, like balance is a lot more if I didn't really want to have to travel 50% 60% of the time in the past. And I can travel 20% of the time or less, it does make it attractive, more attractive today. So I would say it's a combination of both factors Marc.
Marc Riddick: Okay, great. And then, wanted to move over to maybe some of the things that you're seeing with the pricing dynamic and maybe if you could talk a little bit about maybe some, some practice areas where, or just at least in general, how you feeling about the pricing environment, and maybe where there might be some areas where you can be a little more aggressive, where in some areas - where you might not be able to. Just maybe - just share your thoughts on the pricing dynamic that you're seeing out there?
Michael Connors: Yes, I think the pricing is on the - I would call the higher demand. So I'll say digital services and our recurring revenue is we have good pricing power. I would say on broader areas, like just call it more general rapid cost takeout. Because of the topic at hand for a particular enterprise, the pricing is a little more sensitive. And you can imagine that if I'm looking to take out $100 million of cost out of an enterprise. They're going to be a lot more watchful as to what it would cost to make that happen. So I think it's kind of a tale of kind of two groups. One, the higher demand digital services recurring revenue streams is very solid for us, and I think the other is more competitive.
Marc Riddick: Okay, great. And then I guess this one is probably more for Bert, but I was sort of curious as to the tax rate was lower than we thought it would be. You did mention some tax commentary in your remarks was wondering if you could sort of shine a little bit more of a light on that? Thank you.
Bert Alfonso: Yes, we saw two factors. And it was lower than we anticipated. The predominant factor was more of a mix, where we had lower profitability in some of our higher tax jurisdictions, primarily outside of the U.S. with the faster growth that you saw in recurring revenues at 10%. We do more of that business as well in the U.S., even though - we do quite a bit in the European market. So the predominant factor was mix. We had a couple of discrete items, but I would say that mix is the predominant factor. We don't see quite as much of that in the fourth quarter, as we were still anticipating, a bit of strong demand in Europe. So, we're looking at a tax rate, versus the sort of 18 or so percent that we had in the third quarter backup, toward 30%, perhaps a point or two above that. But we were pleasantly surprised with the tax rate and the mix that we had in Q3.
Marc Riddick: Great. And that last one from me, I know I'm sorry, I asked a lot of questions. But the last one for me, I wanted to go back to the change for growth acquisition, maybe can you talk a little bit about their geographic footprint and maybe the opportunity to expand either geographically or by industry vertical? Thank you.
Michael Connors: So good, yes it's good question. So they are primarily U.S. They have a bit in the U.K., we actually are working on a joint large enterprise, possibility over in the U.K. as we speak. I think what this brings - this brings to us is a couple of things. Number one, they have a digital platform they call ATLAS. And frankly, we did not have that we had been actually out in the market looking to buy a digital platform for Enterprise Change. So one of the assets that comes with this business is this platform called ATLAS, which allows clients and those that are engaged in the process to measure progress, kind of the health of the change program, you kind of documented, it's all digitized. And we are going to take that and put that into all of our change management clients, beginning in 2023. So that's one area that is of a benefit immediately on how we will take that and scale that. The second area is they're very strong in consumer services and in retail, in particular, both of those areas. And we were lighter in those areas as it relates to our change management credentials. Both of those areas are going through major transformation. Think about with the consumer spending, recession, noise, all of those kinds of companies are going through what they can do to kind of make it more efficient. As they enter more recessionary times that usually means technology to help them. That usually means disruption, disruption causes pain among the employee population. And then they need to manage that pain in some way in a process that's formalized around change management. And that is how we've looked at this asset and how we're thinking about scaling. And I will add one other thing, the leader of this group, Beth Thomas, is a fantastic executive and coupled with Randy Geoghagan, who was the Founder of TracePoint that we acquired in 2016, that has tripled in size since we did it. Those two together along with a full team of people in Enterprise Change are going to be a real force out in the marketplace. So we're very pleased with the leadership and the team around that leadership as well.
Marc Riddick: Very helpful. Thank you very much.
Michael Connors: Thanks, Marc.
Operator: Our next question is from Vincent Colicchio from Barrington Research. Please go ahead.
Vincent Colicchio: Yes, good morning, Mike nice quarter.
Michael Connors: Good morning, Vinc.
Bert Alfonso: Good morning, Vinc.
Vincent Colicchio: Curious, your overall sales pipeline, given the slowing of the economic backdrop, did the overall sales pipeline grow sequentially?
Bert Alfonso: Yes and the growth is a different mix at the moment Vinc. So all of our digital services recurring revenues continue, the pipeline continues to strengthen. The other area that's I'll call it newer in terms of volume level is our whole cost optimization. A lot of it we call rapid cost takeout. That is also a hot topic amongst certain enterprises that may be struggling a little bit or anticipating struggling in consumer spending. And so that pipeline is also building at a more rapid pace then - then that category would have been in the past Vinc.
Vincent Colicchio: So as part of your, first of all, your big picture, do you feel like your labor mix is in a good position for the type of demand, you're likely to see? If we all, wish ourselves into a meaningful recession next year, as we seem to be trying to do? And is that part of why you hired 56 people this quarter and did this deal?
Michael Connors: Yes, I would say that, we think we have a good mix. We also think that we have surgically targeted, what we think will be the growth areas over the next year or so. That's why we went after the hires primarily in the digital services areas. You know, think about cloud, modernizing technology, cyber customer experience, and then the Enterprise Change, because of all the transformations, that's where we have invested. And as I mentioned earlier events, and you will know this, having followed us for some time, we're pretty conservative on bringing people in and trying to match it with revenue. So we went a little out of - a little out of character. But we did it because we see the talent available that others have paused. Our ISG NEXT model is even more attractive to talent. And so we jumped on all of that plus this Enterprise Change acquisition, Vinc.
Vincent Colicchio: Remind us when the automation deal stops being a comp for the Americas. And you have other deals of a similar size that may provide a tough comp next year?
Michael Connors: Yes, the answer's no to the last point. And then on the automation, we had, it was $3 million or $4 million in Q2. It was $5 million a little bit more than $5 million in Q3. It goes to $2 million in Q4. We factored all that in. So and that's - the runoff is then it's over. It's over in the fourth quarter in terms of that particular deal, but we factor that $2 million into the guidance.
Vincent Colicchio: And then last question from me any changes in sales cycles, or any other signs of, you know, impacts on the economy in any of your geographies?
Michael Connors: No, we're keeping an eye on it. We know from past history, that sometimes clients will do an abrupt change to an engagement. You don't want to slow it dramatically and by themselves a quarter or something. We're not seeing that. I think if we see it, the first place we'll see it is in Europe. But as you can see with the growth rates that we have there, we're not seeing it yet. But we're keeping an eye on it. And we would anticipate in 2023, that there might be a few of those. And we'll keep an eye on it, but that's kind of where it sits at the moment.
Vincent Colicchio: Thanks, Mike.
Michael Connors: Thank you, Vinc.
Operator: Our final question today comes from David Storms from Stonegate Securities. Please go ahead.
David Storms: Good morning, gentlemen, and thanks for taking my call.
Michael Connors: Good morning, David.
David Storms: Just kind of want to touch on the Asia Pacific market. Good morning, thank you. Would you - you'll be able to give a little more color on the Asia Pacific market and kind of what the story is there?
Michael Connors: Yes, first the Asia Pacific market, very good market for us. I mean, for the first nine months, it's up 20%. The third quarter was simply some pausing in some of our government work in Canberra that we anticipated starting earlier than it did subsequent to the quarter. We are - we have just signed a large multimillion dollar deal with the Australian Taxation Office that will kick in here in the fourth quarter. Not for the full quarter, but probably half the quarter that we actually anticipated happening in Q3 just took longer with the government on this particular one. So no issues in Asia Pacific it's a great region. We expect it to continue its growth pattern as it has over the last few years.
David Storms: Perfect, thank you and then switching gears with all the new employees that you're bringing on. What's kind of the J curve with bringing them up to speed and starting to see some of that, you know, headcount revenue go back up, starting to see some of those costs be realized and the direct costs and expenses for advisors, that kind of thing?
Michael Connors: No, it's a good question. The productivity on this is - we're probably in terms of our utilization, it probably impacted at around 250 basis points in the quarter to get them up to speed. So you figure, you've got about a quarter out, we should start seeing some of that comeback in Q4, and certainly in Q1 so that would be kind of the timeline on that, David.
David Storms: Perfect, thank you. And then just one more from me with the Change 4 Growth you had mentioned the 15% continuous annual growth rate that you're expecting. I know you also mentioned that it's a fairly small part of your revenues for now. But kind of how do you see that 15% CAGR translating to your income statement?
Bert Alfonso: Well, first of all, I'd say it's a - it's at firm or higher EBITDA margin business, because we categorize it inside kind of a lot of our digital work and digital work for us has some strength in terms of its margin and pricing capabilities. So our overall view of this particular business is that it's going to generate, it's going to generate at or higher than the overall firm EBITDA margins. That's what this business can do.
David Storms: That's perfect. Thank you very much.
Bert Alfonso: Okay, thank you, David.
Michael Connors: Thanks, David.
Operator: There are no further questions at this time. I will now refer you back to Mike Connors for closing remarks.
Michael Connors: Okay, well look, let me just close by saying I want to first thank all of our professionals worldwide for their continued dedication to our clients and for working together as a global team to achieve our record, nine-month performance. Our people have a passion for delivering the best advice and support to our clients as they continue their digital journeys and also to navigate the macro environment and I could not be prouder of them. And thanks to all of you on the call for your continued support and confidence in our firm. Have a great rest of the day.
Operator: That concludes today's ISG Third Quarter Results Conference Call. You may now disconnect your line.